Operator: Good day and thank you for standing by. Welcome to the Q4, 2021 Employers Holdings, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] recorded. And if you require any assistance during the call, [Operator Instructions]. I will now, like to hand the conference over to your speaker today. Ms. Lori Brown, General Counsel, Ms. Brown the floor is yours.
Lori Brown: Thank you, Chris. Good morning and welcome everyone to the Fourth Quarter 2021 Earnings Call for Employers. Today's call is being recorded and webcast from the investors section of our website, where a replay will be available following the call. Presenting today on the call will be Kathy Antonello, our Chief Executive Officer, and Mike Paquette, our Chief Financial Officer. Statements made during this conference call that are not based on historical facts are considered forward-looking statements. These statements are made in reliance on the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Although we believe the expectations expressed in our forward-looking statements are reasonable, risks and uncertainties could cause actual results to be materially different from our expectations, including the risks set forth in our filings with the Securities and Exchange Commission.  All remarks made during the call are current only at the time of the call and will not be updated to reflect subsequent developments. The company also uses its website as a means of disclosing material non-public information, and for complying with disclosure obligations under SEC's Regulation FD. Such disclosures will be included in the Investors section of the company's website. Accordingly, investors should monitor that portion of the company's website, in addition to following the company's press releases, SEC filings, public conference calls, and webcasts. In our earnings press release, and in our remarks or responses to questions. We may use non-GAAP financial metrics. Reconciliations of these non-GAAP metrics to our GAAP results are included in our financial supplement as an attachment to our earnings press release, our investor presentation, and any other materials available in the Investors Section on our website. Now, I will turn the call over to Kathy.
Kathy Antonello: Thank you, Lori. And thanks to everyone for joining us today. On today's call, Mike and I will outline our financial results for the fourth quarter of 2021 and discuss our observations of the current workers compensation market. 2021 was a very successful year for Employers. And I want to take this opportunity to acknowledge and thank our employees and business partners, who have continued to deliver through difficult and rapidly changing times. It is their hard work and persistence that has gotten us to this point and allowed us to emerge stronger and more resilient. As I mentioned at the beginning of the year, as the new CEO, my primary goal for the company in 2021, was to fully capitalize on the upcoming labor market improvements, while continuing to maintain underwriting discipline, and actively manage our expenses. I am happy to report that we achieved that goal. In terms of capitalizing on improving conditions, our gross written premiums in 2021 were up 2% versus those of a year ago. While pandemic-related shutdowns negatively impacted our premium writings during the first half of the year, we turned a corner during the second half of 2021, and our gross written premiums were up 15% year-over-year. This strong rebound primarily resulted from improved labor market conditions and our appetite expansion into new markets still within our established Low Hazard groups. Those included landscaping, residential janitorial, and several artisan contracting classes. We ended the year providing coverage to a record number of in-force policies.  The significant growth in policy count we experienced, positions us well for premium growth as wages rise and employment levels improve. These dual forces are expected to bring further improvement to our top line. In support of this expectation, we remain committed to providing a seamless customer experience for our independent and digital agents. Throughout the year, we continued our underwriting discipline and observed consistent declines in frequency for loss [Indiscernible] claims. As a result, we maintained our current accident year loss in LAE ratio on voluntary business at 63.5% down from 64.3% for all of 2020. We also reduced our loss reserves for prior accident years by $24 million this quarter, which related to nearly every accident year prior to 2018. In addition, I'm pleased to report that our commitment to actively managing our expenses resulted in a 10% year-over-year reduction in fourth quarter expenses. This meaningful decrease was primarily a result of targeted fixed expense savings, employee reductions in departures and a reduction in assessments. And finally, as a result of the growth in written premium and reduction in expenses that we have achieved in recent quarters we began 2022 with a significantly lower expense ratio. With that, Mike will now provide a further discussion of our financial results, and then I'll return to provide my closing remarks. Mike.
Mike Paquette: Thank you, Kathy. During the fourth quarter, we delivered a 9.5% annualized return on adjusted equity and a combined ratio of 82.4% within our largest operating segment, Employers. For the quarter, our net premiums earned were $156 million versus $152 million a year ago. This marked the second consecutive quarter in which our earned premium increased year-over-year. Our strong premium writings during the second half of the year were due to appetite expansion efforts, continued strong new business writings, particularly in California, and further audit premium recognition. Our losses and loss adjustment expenses were $71 million versus $48 million a year ago. The increase was primarily the result of less loss reserve development recognized during the current period. During the fourth quarter of 2021, we reduced our prior year loss reserves by $24 million while during the fourth quarter of 2020, we reduced our current and prior year loss reserves by $46 million. Commission expenses were $21 million versus $19 million a year ago. The increase was the result of increased commissions on new business writing and a greater amount of earned premium. Underwriting and general administrative expenses were $39 million versus $43 million a year ago. The decrease resulted from targeted expense savings, employee reductions in departures, which reduced our fixed expenses such as compensation and professional fees, as well as a reduction in assessments. From a reporting segment perspective, our Employers segment had underwriting income of $28 million for the quarter versus $45 million a year ago. And its combined ratios were 82.4% and 70.2% respectively. Our Cerity segment had an underwriting loss of $3.2 million for the quarter, down from an underwriting loss of $4.6 million a year ago. We remain very enthusiastic about Cerity's premium writings, which have consistently increased over the past several months and also into 2022 to date.  Turning to investments, our net investment income was $18 million for the quarter, consistent with that of the fourth quarter of last year, and our average book yield was 3% at year end. Also at year end, our fixed maturities had a duration of 3.4 and an average credit quality of A +, and our equity securities and other investments represented 14% of our total investment portfolio. Our net income this quarter was favorably impacted by $25 million of net after-tax unrealized gains from equity securities and other investments, which are reflected on our income statement. And our stockholders equity and book value per share this quarter were each unfavorably impacted by $22 million of after-tax, unrealized losses from fixed maturity securities, which are reflected on our balance sheet. During the quarter, we repurchased $8.9 million of our common stock at an average price per share of $39.63. And since year-end, we bought a further $3.4 million of stock at an average price of $38.33 per share. Our remaining share repurchase authorization currently stands at $24.5 million. And yesterday, our Board of Directors declared a first quarter 2022 dividend of $0.25 per share, which is payable on March 15th to shareholders of record on March 1st. And now I will turn it back to Kathy.
Kathy Antonello: Thanks Mike. My primary goal for the company in 2022 is to achieve greater economies of scale by growing the top line for both Employers and Cerity while maintaining the underwriting and expense discipline we achieved in 2021. Our balance sheet and capital position are very strong and are highly supportive of these key initiatives. As a specialist in small business workers compensation, we are well positioned to react to the favorable trends we're seeing and remain confident in our continued success. And with that operator, we will now take questions.
Operator: [Operator Instructions]. Standby as we compile the Q&A. Our first question comes from Matt Carletti of JMP. Your line is open.
Matt Carletti: Okay. Thanks, good morning.
Kathy Antonello: Good morning, Matt.
Matt Carletti: Good morning. Kathy, I was hoping you might be able to help us better understand the composition of the top-line growth. I know California reopened latter part of the year, so I'd assume a bit of that attached to that. But more specifically, how should we think about that 14%, 15%? And what new policies in your business, what is existing customers adding employees or hours? Are you seeing anything in terms of just straight wage inflation yet? And I'm of course making the assumption that it's not yet pricing, but if it is, please correct me.
Kathy Antonello: Okay. Yes. Sure so you mentioned California. California remains at 45% of our book. So while we are seeing growth in California, we're also seeing growth in other states to an extent that we're maintaining that balance as California is in our book in total. I think I have mentioned in the past, we've reduced rates in California effective February 1st. So that combination of lower rates, and appetite expansion, and as you mentioned, the lower restrictions on business, has increased our California submissions, quotes, and binds, and that led to a pretty significant increase in Q4 California new business premium, relative to Q4 of 2020. As far as what we're seeing from other sources of premium growth, we did increase our audit accrual. In the fourth quarter, we had increased it to $4.7 million from 0 in the third quarter. In the fourth quarter, we brought that up to $12.3 million. So that is also some of the growth that you're seeing there. We're continuing to see a favorable shift that I had mentioned in the third quarter earnings call, the shift from audit returns to audit pickups. So to give you an indication of how audit trends have changed, for the third quarter we had about 4 million of audit returns, but for the fourth quarter, there was about a million and half of audit pick-up
Matt Carletti: Okay. That's helpful. Great. And then just one other question. This one more around the current labor market. It seems to be a tight labor market in a lot of places. What are you seeing or do you have -- I guess the question is, are you seeing anything or do you have any concern around your insureds hiring people that are unqualified for a skilled position? Are we at that kind of that point of a tight labor market or are you not seeing that or not concerned about that?
Kathy Antonello: We're not seeing anything as of yet in terms of unskilled hires, increasing or having an impact on our frequency years severity. We really believe that the upward shift and employment. That levels and wages should impact our policies with our focus in restaurant and hospitality really to a greater than average extent as the economy continues to improve just as we were impacted to a greater extent when the economy deteriorated. So we feel like we will be seeing that upward shift. The January jobs report was really favorable and there was a material revision to the November and December job numbers. And so the signals are that the recovery may have been a little bit steadier in the fourth quarter than experts had originally believed, and that sort of dovetails with what we're seeing. And what I was just mentioning as far as what we're seeing with audit pickups, as opposed to audit returns. So not seeing anything at this point from an economic standpoint or hiring events skilled labor that would be impacting our frequency or severity.
Matt Carletti: Great. Well, thank you for the color and congrats on a nice end of the year.
Kathy Antonello: Thank you.
Operator: Thank you. Our next question comes from Mark Hughes of Truist. Your line is open.
Mark Hughes: Thank you. Good morning.
Kathy Antonello: Good morning.
Mark Hughes: Kathy, could you -- I'm not sure whether you touched on the state of competition, or if you could elaborate a little bit -- what are you seeing in the competitive environment now versus 3, 6 months ago?
Kathy Antonello: Yes. So from a pricing standpoint, we would continue to characterize the environment as fairly competitive. And I mentioned last quarter, there's some irrational competitive behavior in the market from a few actors and that is continuing into the fourth quarter. Again, some of the market surveys are reporting that the fourth -- third quarter pricing was flat maybe very, very low -- small decreases like less than 1%. But our average pricing across our renewal book in the fourth quarter showed an overall rate decrease of about 5% for the three months ended December 31st.
Mark Hughes: Okay. And then I think you've mentioned in the release that January was strong. You mentioned that on the call as well. It sounds like a good chunk of your growth in the fourth quarter came from audit. What -- how do you think Q1 is shaping up? Maybe I'll ask you this. How's new business growth, looking in January is Q1 going to be another double-digit quarter? That's going a little too far, but I'm just trying to see what you might be able to share.
Kathy Antonello: Yeah. We do feel like we had a strong January. We're continuing to see some of the trends that we had -- that we saw in the fourth quarter in terms of favorable audit pickups and so forth and the market reopening seems to be showing some favorable results from new business written premium.
Mark Hughes: Okay. And then what's your sense of when we think about NCCI loss costs? How do you think those will progress as the year goes forward?
Kathy Antonello: It's an interesting question. When we look back over the last 12 months or so, the impact of Europe changes for the industries has been a decrease of about what I was saying we've seen in our pricing, which was about 5%. Those filings are reflecting the decrease and frequency, and that would be a long history of a decrease in frequency. I have to assume that adjustments are being made for the most recent points where we saw a significant decrease in frequency during 2020 and that continued into 2021. But it's hard for me to say what the filings are going to look like this year. I'm certain that they will take that into consideration now.
Mark Hughes: Yeah. And then relative to 2021, the frequency with that down from 2020 or is that down from 2019 when you say it is down?
Kathy Antonello: Yeah, so when looking at frequency for 2021, we've been comparing our accident year '21 numbers to accident year 2019 because we wanted to remove any distortions of COVID and 2020. So we've been seeing frequency relative to payroll down more than 20% and relative to premium down about 15%, but those numbers are over two years. So they're not annualized. That's a two-year change.
Mark Hughes: I'm sorry. What was the numbers you just gave again, 15 [Indiscernible].
Kathy Antonello: For our book we've seen frequency to payroll down about 20% over two years and took premium about 15. And those we're not annualized. So that's over a two-year change.
Mark Hughes: Pretty substantial. And then severity, I think you [Indiscernible] moderately. Can you count the numbers at the severity?
Kathy Antonello: Yeah, I don't really have any numbers to share, but I mean, what I can say is that on the severity side, we're not really seeing anything to suggest severity concerns in our California book. Non-California, we are watching a little bit closer because it's showing some some upward movement but at this point, we're really don't feel like we have enough information to call it a trend, but rather something that we're just keeping an eye on.
Mark Hughes: If I'm thinking about it properly, the -- your frequency to premium is down 15%. I assume that's why you are leading into the market and getting good growth. Is that a fair way to look at it?
Kathy Antonello: I'm sorry. Can you repeat that?
Mark Hughes: Yeah. I was thinking if your frequency to premium was down 15% and your severity is moderate, that sounds like a pretty good environment. And I'm assuming that it's contributing to your more growth in outlook and the growth you've seen lately.
Kathy Antonello: Yes, absolutely. Yes.
Mark Hughes: Okay. So. And maybe the competition that you're seeing, maybe even if it's a little aggressive, maybe rational with frequency. But I guess, who knows how frequency will turn out this year.
Kathy Antonello: I mean, I would have to assume at some point frequency will return to normal levels. But those normal levels have been a decrease in frequency for quite some time now.
Mark Hughes: Okay. All right. Thank you very much.
Kathy Antonello: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Bob Farnam of Boenning & Scattergood. Your line is open.
Bob Farnam: Thanks and good morning. Mike, I know you've been working on lowering expenses for the last couple of years. I'm just curious -- you've provided a trajectory going forward and I'm curious what you expect in 2022 in terms of expenses. I don't know if you're mostly the way through with the expense savings or if there's still more to come.
Mike Paquette: Bob, we did give you a little bit of guidance last year. I think the guidance was basically that the first quarter of last year was going to be our high watermark and that turned out to be correct. Second, third, and fourth quarters were pretty stable. And right now we're watching our fixed expenses very carefully and our goal is to try to maintain or reduce those in light of the additional premium writings that we have now of course, variable expenses are things that we can't reasonably control. Those are premium taxes, assessments bad debts and policyholder dividends. So as we go into 2022, as Kathy mentioned. We've got a much lower base of fixed expenses. Were going to do our best to maintain that or even reduce it. And what you're going to see in terms of the expense ratio for 2022 is going to be largely dependent on the increase in earned premium, and that's I think where you'll see the majority of the decrease for this year.
Bob Farnam: Right. So thinking in terms of expense ratio, if your fixed expenses are going to be seeing consistent and you're growing the top line and you would think that the expense ratio can still tick down a bit.
Mike Paquette: We're in a position right now where we think we'll start to benefit from economies of scale associated with that increase in earned premium.
Bob Farnam: Right. Okay. And second question, I know I probably ask you every quarter, but Cerity still $3.5million, $3.3 million of expenses. It seems flat with the third quarter. Are there continued expense savings there or if you've kind it the position where you wanted to be. And I'm just so curious how far do you think it's going to go before you can actually turn a profit there.
Mike Paquette: Well we're not going to get into determining when we break even in that regard that's a complicated exercise and it's a little early to declare that, but in terms of expenses we are integrating Cerity a bit more into the Employers world for cost savings. And that's been a big driver in terms of that reduction in expenses that you're seeing in terms of what you're going to see for 2022, I think you can expect similar or the same with one exception and that's going to be advertising. Depending on how we do in terms of our satisfaction with our advertising budget for this year, we may very well choose to spend more or less than what we've done in prior years. But if we do spend more in our expenses become higher in 2022 than '21 for Cerity, we believe that we'll do that indiscretionarily and we'll do that only upon seeing value.
Bob Farnam: And you I'm assuming that your advertising thus far has been one of the reasons why you're seeing the growth there?
Mike Paquette: We specifically went a little heavier with advertising than planned in the first half of last year, and based on the success that we saw, we kept that going. And that amount, which was a significant reduction in terms of Cerity's expenses from 2020 to 2021, did include a higher advertising budget and spend. And we're watching that. We've been very successful in January and February to date. And again, what's nice about the advertising is it's discretionary, and we'll only spend it to the extent we see value.
Bob Farnam: Okay. You mentioned Cerity's your -- the platforms are sharing some resources here. Can you just give us an idea of what synergies you are getting between Cerity and Employers and what you expect going forward?
Mike Paquette: I'm not really going to get into what to expect going forward. But we are looking at their -- their technology is ahead of ours and we are now in the process of reevaluating our technology in light of what we're seeing there. Things like premium audit and other areas, we can do centralized. It's really just taking a look at what we can do as a group as opposed to doing something similar or separately for direct versus agency business. It's really back-office and platform-related.
Bob Farnam: Okay. Great. Thanks for the answers.
Operator: Thank you. I'm seeing no further questions in the queue. I will turn the call back to Kathy Antonello for closing remarks.
Kathy Antonello: Well, thank you all for joining us this morning, and I look forward to meeting with you again in April.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect and have a pleasantday.